Operator: Good morning, and welcome to the Trulieve Cannabis Corporation Second Quarter 2023 Financial Results Conference Call. My name is Jason, I will be your conference operator today. As a reminder, this conference call is being recorded. And I would now like to introduce your host for today’s conference Christine Hersey, Vice President of Investor Relations for Trulieve. You may begin.
Christine Hersey: Thank you. Good morning, and thank you for joining us. During today's call, Kim Rivers, Chief Executive Officer; and Ryan Blust, Interim Chief Financial Officer, will deliver prepared remarks on the financial performance and outlook for Trulieve. Following their prepared remarks, we will open the call to questions. Steve White, President, will also be available to answer questions. This morning, we reported second quarter 2023 results. A copy of our earnings press release and PowerPoint presentation may be found in the Investor Relations section of our website www.trulieve.com. An archived version of today's conference call will be available on our website later today. As a reminder, statements made during this call that are not historical facts constitute forward-looking statements and these statements are subject to risks, uncertainties, and other factors that could cause our actual results to differ materially from our historical results or from our forecast, including the risks and uncertainties described in the Company's filings with the Securities and Exchange Commission, including Item 1A, Risk Factors of the Company's Annual Report on Form 10-K for the year ended December 31, 2022. Although, the Company may voluntarily do so from time-to-time, it undertakes no commitment to update or revise these forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. During the call, management will also discuss certain financial measures that are not calculated in accordance with the United States Generally Accepted Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered in isolation or as a substitute for Trulieve's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our earnings press release that is an exhibit to our current report on Form 8-K that we furnished to the SEC today, and can be found in the Investor Relations section of our website. Lastly, at times during our prepared remarks or responses to your questions, we may offer metrics to provide greater insight into the dynamics of our business or our financial results. Please be advised that, we may or may not continue to provide these additional details in the future. I'll now turn the call over to our CEO, Kim Rivers.
Kim Rivers: Thank you, Christine. Good morning, everyone, and thank you for joining us. First, I'd like to welcome our Interim Chief Financial Officer, Ryan Blust for the call. Ryan joined Trulieve five-years ago and has been an integral part of our team. Turning now to our results. Demand for legal cannabis remains strong. In the first-half of the year Trulieve realized record traffic and units sold, proving the durability of our products and loyal customer base. Throughout this economic cycle, we have successfully pivoted and adapted our business to meet evolving customer preferences and strengthen our competitive position. Back in March, we outlined our plan to streamline operations, while simultaneously making targeted investments in long-term growth initiatives. Measures taken to improve cash flow from the core business and focus resources towards unlocking potential and attractive markets are reflected in second quarter results. Recent wins include fully planting our new 750,000 square foot indoor cultivation facility in Florida, opening the first medical dispensaries in Georgia, opening our first dispensary in Ohio, launching recreational sales in Maryland, and advancing the Florida adult-use ballot initiative. Our team has done a phenomenal job executing on our plan, and we are carrying this momentum through the remainder of the year. Second quarter revenue of $282 million is in line with our guidance. Excluding deferred revenue, retail revenue increased sequentially by $3 million, driven by increased traffic and volume, partly offset by price compression. In Florida, volume increased by 21% in oil products and 9% in flower, with truly selling a 130% more oil and a 150% more flower per store in the second quarter than the average competitor, contributing to higher revenue. Gross margin of 50% declined by 2% primarily due to the reclassification of idle capacity costs from SG&A to COGS, resulting in tax savings of $4 million annually. Building upon the progress made in the first quarter, both GAAP and adjusted SG&A expenses were further reduced this quarter. Adjusted EBITDA was $79 million or 28% margin, representing a 1% increase in our 22nd consecutive profitable quarter. Across our platform, actions to bolster our business resilience and solidify our industry leading position are gaining traction. Truly pays taxes owed on time, which is a differentiating factor among peers. Year-to-date, tax adjusted cash flow from operations was $98 million. During the second-half of the year, we expect to realize additional cost savings as optimization efforts benefit financial results. In June, we exited additional California retail locations and began to wind down operations in Massachusetts to preserve cash and direct resources towards more attractive markets. In Florida, we have [Indiscernible] legacy production capacity to offset greater output from our new facility, leading to increased efficiencies and ultimately lower costs. In Arizona, additional steps to streamline production and distribution to our retail network are expected to yield greater efficiencies and support the re-launch of several branded products later this year. Capacity utilization alignment across other markets to match current demand, combined with higher sales of internal products, are expected to further reduce core business expenses. Trulieve sells the highest volume of branded products through branded retail in the U.S., reaching 11.6 million units of internal products sold during second quarter. With the largest retail network of 186 dispensaries, supported by over 4 million square feet of production capacity, we are able to realize the benefits of scaled vertical integration. Large scale production and distribution of branded products remains a distinct competitive advantage for Trulieve, resulting in more direct-to-consumer contact, greater efficiencies, and lower operating costs. The flexibility to increase throughput to meet spikes in demand is an important differentiator that allows us to capture the upside during peak traffic. The power of our platform was on display during record traffic on 4/20 and 7/10 holidays, up 10% and 54%, respectively, compared to last year. Inventory drawdown of $22 million in the second quarter contributed to improved cash generation. Throughout the back half the year, we anticipate further inventory reduction as we approach normalized steady state inventory levels. Our new 750,000 square foot indoor cultivation facility in Jefferson County is an important strategic asset. Once production is dialed in, we expect to achieve lower production costs in Florida, which we can use to buffer margins and provide additional savings for our loyal customers. Cash generation should improve in the second-half with lower expenses and conversion of inventory to cash. As such, we remain on track to achieve our target of $100 million in operating cash flow and generate positive free cash flow this year. Cash at quarter end was a $160 million. Trulieve is one of the highest cash balances in legal cannabis, an additional unencumbered real estate that can be mortgaged at attractive rates. In the current environment, our cash on hand, cash generation, and access to capital placed Trulieve among top tier operators and provide significant flexibility to address our near-term debt obligations. Trulieve remains the top cannabis retailer in the world, anchored by industry leading retail positions in Arizona, Florida and Pennsylvania. In the second quarter, we had a new retail locations in Arizona and Pennsylvania relocated one store in Florida, and opened the first medical dispensaries in Georgia. While it is still early days, we expect our business to grow alongside the program as new patients enroll and eventually new qualifying conditions and form factors are permitted. As one of only two operators in Georgia, we are eagerly awaiting new rules to allow registered pharmacies to distribute cannabis products across the state. In July, we opened our first medical dispensary in Ohio, which has 370,000 registered medical patients. In November of 2023 voters in Ohio will have the opportunity to decide whether to permit adult use sales. With almost 12 million residents, we estimate the market could reach $2 billion in annual sales. In Maryland, recreational sales launched on July 1st. Trulieve’s commemorated the occasion with celebrations and specialty products, including homegrown clones, product bundles, and Blue Crab [Crus flower] (ph). As expected, we realized a meaningful increase in traffic and sales at our three dispensaries alongside an uptake in our wholesale business. Traffic increased 200% and sales per dispensary increased 150% during the first month of recreational sales. Our teams did a phenomenal job maintaining customer service standards with a sharp increase in traffic. With the addition of Maryland, we now operate in five adult-use sales, providing an opportunity to learn more about customer preferences and consumption patterns. Currently 161 dispensaries or 87% of our retail network serve only medical patients. We expect to significantly grow our business as more of our markets expand to include adult-use sales. With scaled operations in attractive markets, with meaningful adult-use catalysts such as Florida and Pennsylvania, we are uniquely situated to increase our loyal customer base and serve a broader audience. In Florida, the campaign for adult-use has surpassed the required threshold with over 1 million validated signatures. The Florida Supreme Court has received briefs regarding the Citizens Initiative. As a reminder, the court can issue an opinion anytime between now and April 2024. With 22 million residents and a 138 million annual tourist visits, we believe Florida will be a top legal cannabis market reaching $6 billion in annual revenue. Given our 40% market share, scale and service, and ability to quickly flex up production with minimum investment, Trulieve is ready to expand its leadership position with this opportunity. In Pennsylvania, a bipartisan bill to establish adult-use sales was introduced last month. We remain optimistic that an enactment of adult-use programs in nearby states, such as Maryland, New Jersey, and New York will spur action in the Houston state. With almost 13 million residents, we believe the Pennsylvania market could reach over $4 billion in annual sales of adult-use consumption. In the meantime, we continue to optimize production and retail operations. In the second quarter, we further refined our production mix, gained new product approvals, and opened a new affiliate dispensary. The percentage of our own branded products sold through our affiliated retail network reached 50% in the quarter, aided by the popularity of modern flower and Roll One. We plan to further increase sales of branded products through branded retail in Pennsylvania. Our retail led strategy enables close contact with a customer and the ability to define and control the customer experience from end-to-end. By providing the right products in the right place at the right price consistently, we're able to grow a large loyal customer base and build lasting brand equity. Customer retention data shows the efficacy of our approach with 64% of customers company-wide and 74% in medical only markets, returning in the second quarter. Our refreshed website is slated to log launch before year-end, improving customer satisfaction as we approach the busy holiday period. As our customer base and retail network grow, we are enhancing our data analytics platforms and improving customer communications. In the Southeast, we are utilizing predictive modeling tools and AI driven recommendations for product affinity and timing of outreach. At the same time we are further defining by our personas to increase the targeted messaging with our customer data platform, paid media, social media, and search engine optimization tools. Investments and systems and infrastructure to support future growth are ongoing. Demand for legal cannabis remains strong, and we expect to realize meaningful increases in traffic and unit growth over the next few years as we enter new markets and catalysts come to fruition. In preparation, we are adding foundational elements required to support additional scale and significant volume expansion. Balancing increased demand while maintaining customer service standards requires both planning and insight into evolving customer preferences. We have expanded our ability to gather customer feedback and are utilizing the data to inform our processes and customer approach alongside data collection to inform product development and demand planning. These tools will actually lead to garner a competitive edge today, while preparing for a future defined by integrated commerce. With meaningful catalysts on the horizon, our team remains focused on cash preservation and generation as we expand infrastructure required to manage accelerated growth. With our proven ability to operate at scale, adapt to evolving landscapes, and strong balance sheet, I am fully confident in our team and competitive positioning. With that, I'll turn the call over to Ryan.
Ryan Blust: Thank you, Kim, and good morning, everyone. Second quarter revenue of $282 million declined 1% sequentially. Excluding deferred revenue, retail revenue increased sequentially by $3 million driven by increased traffic and volume, partially offset by price compression. Second quarter GAAP gross profit was $142 million or 50% margin, representing a 2% decline quarter-over-quarter. Gross margin reflects the reclassification of idle capacity charges from SG&A to COGS, resulting in a tax savings of $2 million this quarter $4 million annually. Gross margin will continue to fluctuate quarter-to-quarter, depending on product and market mix, inventory sell through, promotional activity, and idle capacity costs. SG&A expenses in the quarter were $96 million or 34% of revenue, compared to $100 million during the first quarter. Adjusted SG&A was $81 million or 29% of revenue, compared to $87 million or 30% in the first quarter. Reduced SG&A expenses are the result of ongoing efforts to lower core business expenses, including consolidation of production capacity and elimination of redundancies. Second quarter net loss was $404 million, compared to net loss of $64 million in the first quarter. Second quarter loss share was $2.14, compared to a loss of $0.34 in the first quarter. Net loss includes non-cash impairment charges of $64 million following the strategic decision to wind down operations in Massachusetts and a $308 million goodwill impairment triggered by the recent stock performance. No impairments were identified based on management's forecast. Excluding non-recurring charges, second quarter loss per share would have been $0.08, compared to a loss of $0.09 in the first quarter. Second quarter adjusted EBITDA was $79 million or 28%, compared to $78 million or 27% during the first quarter. Adjusted EBITDA reflects optimization efforts to maximize cash preservation and generation. We ended the quarter with a $160 million in cash. During the second quarter, cash consumed in operations totaled $23 million, inclusive of two tax payments and semiannual interest payments. Normalized for tax and interest payments, cash generation improved by $25 million in the second quarter. Inventory was reduced by $22 million in the second quarter as a result of targeted efforts to wind down specific volumes and product categories. During the remainder of 2023, we expect to realize improved operating cash flow through a combination of expense and inventory reduction. Capital expenditures totaled $11 million in the second quarter. We expect 2023 capital expenditures will be at least 50% lower than 2022. We plan to open 50 to 20 new dispensaries and relocate up to six stores this year. Factoring in results quarter-to-date, we anticipate third quarter revenue will be down mid-single-digits sequentially. The adult-use launch in Maryland and strong traffic around the 7/10 holiday positively contributed to July performance. At the same time, seasonal trends including extreme heat in our [Indiscernible] markets and wallet pressure on consumer behavior are influencing top line results. Steps to streamline operations and reduce costs are expected to benefit margins while inventory reduction initiatives will impact gross margin. Overall, our initiatives are yielding positive results and we look forward to reporting further progress as we continue to execute on our plan this year. With that, I'll turn the call back over to Kim.
Kim Rivers: Thanks, Ryan. U.S. legal cannabis remains a compelling investment opportunity with significant long-term upside potential. Every year, cannabis becomes more mainstream as access to legal products expands through state programs. I've highlighted during the whole story with Anderson Cooper on CNN this week, the 55 plus community is the fastest growing group of cannabis consumers in the U.S. During the program, Dr. Sanjay Gupta visited a Florida Trulieve store with a 94-year old patient, who had found relief from cannabis as a replacement for pharmaceuticals. Demand for cannabis remains strong and industry analyst forecast revenue will nearly triple by 2030 to over $70 billion in annual sales. Trulieve is an industry leader, poised and ready to define the future of cannabis as this market grows. With a leading retail network of over 4 million square feet of capacity and access to capital, we are further solidifying our position as numerous federal and state level catalysts come to fruition. Although the timing remains difficult to predict federal reform through legislative action or rescheduling of cannabis is on the horizon. We remain optimistic that change is inevitable. In the meantime, states continue to enact medical and adult-use cannabis programs through citizens initiatives and legislation, expanding the legal market and spurring greater adoption and acceptance. Two of our largest markets, Florida and Pennsylvania, have the potential to launch adult-use programs in the next couple of years. Trulieve has been a phenomenal success story with tremendous growth, and I'm fully confident our best days are still to come. Thank you for joining us today, and as I always say onward.
Christine Hersey: At this time, Kim Rivers, Ryan Blust and Steve White will be available to answer any questions. Operator, please open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Derek Dley from Canaccord. Please go ahead.
Derek Dley: Yes. Hi, congrats on the strong quarter. My first question is just on the Jefferson Park facility. Can you just talk about how the ramp up there is progressing, you know, I think last quarter you mentioned that, it was performing well almost too well, and that led to a bit of an inventory build-up, but this quarter, we saw some strong movement on that inventory wind down. So just you know, perhaps how's the balance of the ramp up of Jeffco progressing and how should we think about that in terms of inventory and margins over the next couple of quarters?
Kim Rivers: Sure. So and, you know, Jeffco, of course, is a strategic asset for us. It's 750,000 square feet, we're very excited that now it has officially been fully planted and is in full utilization and that means that the second phase is now in operation. The first phase continues to perform well, we again had, this quarter was spent ramping the second phase and getting that into production anytime you ramp a new phase of a facility of that size, you know, there will -- we'll continue to dial it in as we've mentioned through the rest of the skier. So, you know, I wouldn't expect, you know, straight line, on performance there, but we do continue to have expectations about facility will meet, if not exceed our model as it relates to performance there. And then ultimately, what that should do and what we should see to begin to come through and pull through the numbers from the first phase in the back half of the year. And again, in that second phase as we enter 2024 is lower production cost, which of course, will impact, margins. But of course, with margins, we've got a multitude of factors and lower production costs for sure, but we have to, you know, also consider the inventory wind down and what we're doing there strategically to generate cash. And then, of course, ultimately, right product mix matters, and as we look at consumer demand. So all three of those will continue to interplay, as we're continuing the rest of 2023.
Derek Dley: Okay. And then just following up just on that inventory wind down, I think you mentioned, $24 million for the year, $22 million in Q2. Should we expect that to sort of continue with that same rate over the balance of the year and do you anticipate by year-end being in the inventory position that you're targeting?
Kim Rivers: Yes. I mean, we're certainly continuing to normalize inventory levels. And so, certainly, you can expect additional inventory wind down to occur throughout the rest of this year. And we are, you know, working to get to a normalized inventory rate exiting this year. Will it be exactly on 12/31, I don't know that I can say that precisely. Again, because it always has to come back to the consumer, right, in that product mix and what the consumer and the types of products that the consumer -- where the consumer demand is. And that being said, I will say that the strategies that we've deployed are resonating and as evidenced by this quarter. And really, it's pretty exciting for us and the timing just worked out that with this inventory effort, we've really had an opportunity to experiment with some different strategies and with some different product offerings, and, again, utilizing our data insights to and because the consumer patterns have shifted, over the last 12-months. And so to really be able and to have the flexibility to have products and value propositions to meet that current consumer profile, which will, we think, put us in a strategic advantage as we exit this sort of inventory wind down period to better align our product mix and our portfolio offerings with those consumer preferences. So it's really been, of course, certainly a source of interim cash generation, but also strategic, kind of, asset is the way we're looking at it as we're able to better align our go forward plan with consumer preferences.
Derek Dley: Okay. Great. Appreciate the color. Thank you.
Operator: The next question comes from Matt McGinley from Needham. Please go ahead.
Matt McGinley: Thank you. With the comments around the mid-single-digit revenue decline in the third quarter, it sounded like that was more Arizona with the heat related comment, or was that assumption a little bit more broad based and that you're seeing weakness in other markets as well. And as far I know it's a little far out to project what the fourth quarter would look like, and you may have more pricing compression, but if that is primarily Arizona related, would you expect to see an acceleration in the trend in better revenue in the fourth quarter, compared to what you expect to see in the third?
Kim Rivers: Yes. So, Matt, I don't know if you've looked at the weather in Florida either, but we're pretty hot down here right now as well. So, you know, but that being said, I mean, I think the comments around Florida obviously demand was really strong in Q2 and in Florida specifically and, obviously, you'll have the OMMU data there. Price pressure, I think, in Florida is more of the story a bit. Arizona, certainly, in Q2, we begin to see that seasonality, right? I mean, there just is seasonality in our business, maybe more so than comps that our peers, because of our positioning in our market and our market spreads. So Q3 is really the prime impact, right, of that seasonality and as we have a full quarter of it, in Q2, you have a -- you know, it starts kind of back half of Q2. So, Steve, I don't know if you have any other color on Arizona specifically.
Steve White: Yes. I mean, typically, it is true that Q -- the second quarter and third quarter in Arizona are weaker. In particular, when you look at the third quarter this year, we had record heat levels. You saw temperatures in excess of 110 degrees, I believe 30 out of 31 days or all 31 days. So you're going to see, you will see some weakness associated with that seasonality, because the temperatures were worse than usual. And then you start to see a recovery as temperatures drop and people start returning to school.
Matt McGinley: Got it. So that -- overall that sounds like that's more transaction based than price decline.
Steve White: Yes.
Matt McGinley: Got it. And on the -- you spent another $9 million this quarter on the smart and safe Florida campaign. Now that you have this thing that yours, does that spend stop or are you now in a period where you transition to spending more legal expense to get this on the ballot?
Kim Rivers: Well, hopefully, the lawyers won't be that expensive, Matt. As a recovering lawyer, we -- you know, I'm pretty keen on watching those fees. But, yes, so the large -- the largest part of that spend is around signature gathering and certainly would expect that to taper dramatically in the back half of the year.
Matt McGinley: Okay, great. Thank you.
Kim Rivers: Yes.
Operator: The next question comes from Andrew Partheniou from Stifel. Please go ahead.
Andrew Partheniou: Hi, good morning. thanks for taking my questions and congrats on the good quarter here. Just wanted to maybe touch on a little bit more on the OCF guidance. You reiterated $100 million this year, so it's obviously a big second-half. Inventories already come down, meaningfully in in Q2, and you expect more of that to come, I imagine that the two holidays in the quarter helped. Just wondering, you know, how should we manage our expectations over the next two quarters, you know, you talked about seasonality in Q3 and a potential recovery in Q4. So should we also be thinking that the majority of the cash generation would be in Q4 as well? There it's also a period with lots of holidays, even though you have 7/10 in your August event in Q3?
Kim Rivers: Yes. I wouldn't say that I would necessarily equate the commentary around, you know, slight, kind of, seasonality on top line, to necessarily equate to correlating, decline or pressure on cash on operating cash flow. And keep in mind, right, a few things, let me just give you a color and it's not only right, the inventory wind down effort that generates -- would generate cash in our business. We have been since really mid-year of last year, optimizing, and really focusing on streamlining the business in meaningful ways and some of those initiatives take time to realize through the financials, but we are starting to see those come through at this point. And we got kind of a partial quarter, if you will, this past quarter, and there's going to be some additional acceleration of those. Again, pulling through, you know, things that we've started over the last nine, 10 months coming through the financials in the back half of the year. So it’s not, you know, singular in terms of, you know, a lever related to inventory wind down. It also really is a true focus and disciplined focus of getting the business in the right posture, so that we're set to exit this year as a leaner organization and that's something that that this, again, I'm very proud of this team. We've been very laser focused on. So that'll start to pull through and you'll see those results come in back half.
Andrew Partheniou: Thanks for that. And then maybe thinking about the use of cash, you know, CapEx hasn't really ramped up much, year-to-date since last quarter. You do provide an upper limit to CapEx, but is it possible that, you know, CapEx could be a step change lower in that upper limit. Just wondering on that, because I think in the past as well, you mentioned that your desired to retire the $130 million of debt due next year. I just wanted to understand the puts and takes on that if you're comfortable to provide color on retiring that debt or an update on timing, I mean, it seems like you have the resources for that?
Kim Rivers: Yes. I mean, again, you know, one of the primary goals is to have optionality, right in the business, so that we can take advantage and make strategic decisions, and have choices, right, on the table. And so, we're very happy again with our cash position. And particularly given that we do pay taxes on time and particularly, you know, in this year, as a reminder, we have five tax payments and still, you know, are going to be in a position to be free cash flow positive, and on target for our cash flow from operations goals. So, you know, really for us, it's about, flexibility and optionality so that we can make decisions that are best for the business as opportunities present themselves. So, you know, the CapEx guidance we've given, we're standing behind that. And again, I'm happy that we've got the ability to be in an enviable position where we have options that we can choose between.
Operator: The next question comes from Russell Stanley from Beacon Securities. Please go ahead.
Russell Stanley: Good morning, and thank you for taking my question. First on SG&A, congrats on the reductions there today and just following on your comments came around, the lagged impact, some of that being in Q2, I guess adjusted or normalized SG&A around 29% of sales in the quarter. I guess, where would it have been? I guess, if the efforts today had a full impact in the quarter and how much lower might you take that help? How lead do you envision getting on that front?
Kim Rivers: Yes. Russ, I don't have a number to give you on that specific metric and, you know, obviously, it would have been higher, slightly. But I think that, again, it's a question of, you know, what's coming in the quarter, what's one-time versus what's an ongoing initiative, in those, of course, as you can understand, will vary from quarter-to-quarter, you know, for us, it's really, again, the focus is on, optimizing the operation, you know, we want to make sure that we're running efficiently, but also effectively. And we are, of course, very focused on making sure that our standards continue to be met, and that we're continuing to, again, our mantra is scale and service. So, you know, we certainly want to make sure that we -- it's a balance, right, in terms of getting to the appropriate level of optimization, eliminating redundancies. There's been a lot of effort and focus on backup health and really making sure again that those parts of the organization are streamlined and, again, running efficiently, and there's some additional work that's in flight on that, but, and quite frankly, you may not see that come through until maybe first part of next year, right? I mean, it's an ongoing discipline and one that, again, we really started to focus in on in a meaningful way, mid-year last year, and are committed to. And I think you'll again -- you'll continue to see benefits pull through on the financials.
Russell Stanley: Thanks for that. And just for my follow-up, just switching to Georgia, can you elaborate, I guess, on the pace of market growth here relative to your expectations and also elaborate, I think, on your reference to the potential for pharmacies to begin distributing products, I guess, pending the rules on that. Thank you.
Kim Rivers: Yes, sure. And so Georgia is really, I would say on pace as it relates to expectations. It's going to be, you know, kind of a steady build. And as I've said before, it reminds me a lot of early days in Florida, where I don't think anyone on this call was maybe paying attention to Florida back in those days, because we were kind of a little you know, CBD-only and then [Indiscernible] came in and then conditions started getting added, you know, up until the point where, of course, there was the ballot initiative and everyone sort of heads turned our way. So Georgia is really similar in that respect, you know, we're working and certainly have good relationship with the state. We're currently focused on really trying to get the time for cards down, right, again, similar to Florida right now, it takes, an ex, you know, too long for someone to actually get a card in Georgia. And that being said, you know, there are some positives, right? We're excited about the upcoming rulemaking draft rules are out, so that process isn't flight and those rules will allow for pharmacies to order products and to -- into active point of sale for regulated cannabis products in that market. And so we've been developing relationships with, and it's primarily going to be independent pharmacies at this point. And but we've been developing relationships with an independent pharmacists and feel that there is, you know, meaning -- could be a meaningful uptick in distribution points, once that actually is enacted and we're able to start selling through those channels.
Russell Stanley: That's great. Thanks for the color. I'll get back in the queue.
Kim Rivers: Yes.
Operator: The next question comes from Eric DesLauriers from Craig-Hallum Capital Group. Please go ahead.
Eric DesLauriers: Thank you for taking my question. The first one is just on Jeffco, kind of, just a general question here. I'm wondering, how long you expect that to -- take to be dialed in? You know, do you see this as sort of a, you know, quarter or two of, you know, just like a few harvests to kind of get dialed in, or do you think the sort of uniqueness of the automation in this facility might, you know, either pull that forward or push that back a bit, just kind of, you know, wondering how long you expect Jeffco to be dialed in and, you know, obviously understand that there's a sort of a lag from when it’s dialed in to when that inventory actually gets sold. But, just wondering, you know, how you're looking at the sort of timing of Jeffco given its uniqueness? Thanks.
Kim Rivers: Yes. I mean, so just as kind of a reminder, right, the first phase of Jeffco is fully planted. That is on a regular, you know, cadence at this point, and that is flowing through the inventory mix currently. So it's, you know, and we don't -- it's not like we -- because of a facility that large, we don't plant everything at one time. So it's on a rolling, you know, harvest schedule. Otherwise, we would have these, you know, huge ebbs and flows, if you will, in terms of our, in terms of not only our inventory, but our labor and kind of everything else. And so, it is -- it's going to be more, kind of a gradual folding in, if you will, than I would say a kind of a step function change. So I just don't want those to have an expectation that, you know, we wake up one day and it's, you know, August 8th and all of a sudden, right, there's a step function change in terms of our cost basis. So it is -- it will come in over time. And in terms of when we think in completion, it will be fully contributing. Like I said, I think that's going to be dialed in and kinks worked out, and we can feel like this is okay, this is our new normal and steady state going forward. I think it's going to take two things for us to really see right and the numbers one, again, we have to continue to work through legacy inventory and clear that out, because we have higher cost of inventory that's currently in the queue, if you will. And then in addition, right, we have to actually get those kinks out and remain kind of operational and Jeffco. So I would say really that -- for that to happen, that's going to be a 2024 item, but that doesn't mean, again, that we won't begin to see benefits into 2023. I mean, we're already starting to see that come through the pipe now with the first phase. But, again, right, we have this inventory wind down effort happening simultaneously. And it also should be noted, which you actually mentioned, product mix matters, right? So it's depending on, again, how fast our turns are, what velocities look like on particular products, and how we're allocating that legacy inventory versus the new Jeffco inventory, of course, will impact and how quickly you start to see impact. You start you start to see the flow through on the financial. So, short answer is all in 2024 with some benefit coming through in 2023.
Eric DesLauriers: That makes sense. I appreciate that color. And then my next question, I apologize if you touched on this in the prepared remarks. I'm juggling another call, but, so, I mean, I was really impressed with the gross margin, performance this quarter despite the inventory reductions. Obviously, inventory reductions are a primary focus here. Can you just kind of talk about how you're thinking about the trade-off between, you know, margin strength and inventory reduction in the second-half? Should we expect, you know, margin pressure from this 50% range, in the second-half as you unwind inventory or you know, is there something about these results that sort of gives you confidence in being able to unwind inventory without too much of a further impact to margins? Thank you very much.
Ryan Blust: Hey. Yes, thanks for the question, you know, as we've noted previously, there are a number of factors that impact margins; one of the unique things that occurred this quarter was the reclass, for idle COGS capacity between G&A back to COGS, you know, for the remainder of the year, you know, we continue our inventory reduction, which does impact margins. And, you know, we've touched quite a bit on Jeffco so far. But, again, you know, we're still selling through our legacy inventory. So, you know, there's -- and consumer demand obviously has a -- has you know, with different velocities, you know, it’s going to, you know, that kind of ebbs and flows every quarter. So it really is a linear, so…
Kim Rivers: Yes, and I would just -- to piggyback on what Ryan said. I mean, I think that the reality is, is that, you know, it's the dynamic, and it's -- it really does all go back. And as I said before, to the customer and that product mix piece. And then what flows through that, right, is what inventory bucket we're pulling from, what are the costs underlying that inventory, right? And then, of course, you know, sort of the again the -- if that's legacy inventory, it's going to have a negative impact on margin. If it's just inventory, it'll be certainly a little bit better. And that sort of dynamic will continue, right, and through our inventory wind down and completion, which, you know, is will be definitely for the remainder of this year as you know.
Operator: The next question comes from Scott Fortune from Roth MKM. Please go ahead.
Scott Fortune: Yes. Good morning, and thanks for the questions. Real quick, Florida, you mentioned seasonality, you know, we're seeing heavy discounting there and continuing price pressure. Just kind of step us through how, kind of from a seasonality standpoint, the discounting's been more than general, and just your initiatives, you know, from loyalty and other initiatives continue as you put up these numbers to continue to kind of offset that price pressure within Florida going forward with, you know, more competitors coming on board here?
Kim Rivers: Yes. I mean so, you know, Florida, of course, is a cornerstone state for us. It's our home states where we got our start, and we feel very, of course, connected to our customers in the State of Florida. We certainly have seen customer preferences shifts in Florida, just you know, as we have in varying degrees across different markets. And we also, of course, strategically have launched our inventory wind down initiative this year. So for us, we are absolutely leaning into, sell through a particular product type where we believe that there's strong consumer demand, in order to work through that inventory, in an effective way. And then have had good success there, you know, and, of course, as we mentioned, had incredible results, this quarter in terms of just volumes in Florida with incredible increases of -- as I mentioned 21% up quarter-over-quarter in oil products and 9% in flower. And, you know, again, just because I love the statistic, that's a 130% more oil and a 150% more flower per store than our next closest competitor. So we certainly what we're seeing in Florida specifically is while we are seeing some price compression, we're seeing demand increase on a absolute basis quarter-over-quarter. Number of transactions are up and I think that really plays to our strength, because of our scale and our position where we are, I think, uniquely positioned, in Florida specifically where we can handle increased demand. And so for us, increased volumes is something we're incredibly comfortable with. And we're also comfortable with shifting, again, consumer preferences, our ability to pivot from a production capacity standpoint, our retail capacity standpoint, our cultivation capacity standpoint is unmatched. And so we're really, at this point happy to lean into that strength, particularly, again, now when we have excess inventory and we can really use this time to dial in to changing consumer behaviors and use it to really understand and test right, strategies to really meet this consumer where they're at.
Scott Fortune: Got it. I appreciate the color there. And then, probably, Kim, real quickly. Can I speak on the other states, you know, Ohio, Pennsylvania, potential, adult-use there, potential expansion in Maryland and Connecticut. Can you provide a little bit more color or call out some of the state and kind of the CapEx, as you look at ‘23, you're not giving anything out in ‘24, but kind of the CapEx we've -- or kind of expanding or growing those things, just kind of, update on the other states outside Florida. That'd be great.
Kim Rivers: Sure. So, you know, our metrics that we've given as it relates to CapEx is that we're looking to, you know, expand to 15 new stores, 15 to 20 new stores this year, and relocation of up to six, this year, right? So far, year-to-date, we've opened 11 and we've done through relocations. So, you know, certainly more to come on the retail side of things and we and other states as mentioned in the prepared remarks, you know, Pennsylvania has really been, a great performer for us as we've really pivoted strategically there to launch and really, you know, consumer has accepted in really by evidence by the numbers, our own branded products through our branded retail in Pennsylvania. That was our strategic initiative that was launched in the back half of last year, were up to 50% sell-through of branded products through branded retail in that market. And again, really in terms of -- when we think about kind of durability, brand building, et cetera, in a market that is really important for us as we consider the potential upside of an adult-use flip in Pennsylvania with legislation recently introduced and we think that's a high likely, rec flip state in the next, call it 12 to 24 months. So I'm very excited about positioning in Pennsylvania. Maryland, that team has just done an incredible job, really to take, again, the volumes of our existing platform up to 200% with a rec flip, is just, you know, again, really incredible performance. And also, I think, evidenced when we think about our sell-through, again, internally branded products, not only through our retail channel in Maryland, but also wholesale and the cultivation team and production team really dialing in. Our flower is outstanding there, as well as our additional product portfolio. We just launched our edibles line there as well. So again, Maryland, really great performance by that team with a recreational flip. Arizona, as we mentioned, normal for this time of year that we're seeing seasonality in that state. We are poised to launch additional brands in Arizona back half of this year as we come out of that seasonal period, and plan to also begin focus on, which has already started branded product through branded retail. So I believe that there's certainly upside to be had as it relates to, again, brand building in Arizona, which is another focus of ours through the back half of this year into early next year.
Scott Fortune: Great. Appreciate the color.
Kim Rivers: Yes.
Operator: The next question comes from Aaron Grey from Alliance Global Partners. Please go ahead.
Aaron Grey: Hi. Good morning, and thank you for the questions. First question for me, I want to turn back to Florida just a little bit more from a store's perspective. So store openings, you know, slowed a bit in Florida, while you definitely have, you know, most stores in the state you still see meaningful opportunities for additional stores? Or do you think, you know, the slower cadence is where we should expect things going forward? And then if you could touch on that both how you see saturation in terms of the current medical market and then how that might change from an adult-use market scenario? That'd be helpful. Thank you.
Kim Rivers: Yes, Aaron, I mean, listen, patient growth in Florida has continued to be really steady, as we've seen rough numbers, approximately 2,000 patients per week, continue to enter the program. So, you know, I think at this point, again, saturation numbers are interesting to me, because they don't take into account. They're just -- they're kind of done in a little bit of a vacuum. And they don't take into account when you're comparing markets and the nuances or specifics of a particular program. In Florida, specifically there have been some changes to the program, which I think are actually helpful, in that now, in this past legislative session, renewals are available now via telemedicine. And so I believe that, that will positively impact retention rates in Florida on a go forward basis. So very interested to see how that how that plays out, because one thing, right, we talk about new patients a lot, but we don't necessarily have great visibility in terms of the, sort of, exit rates or if you will, or kind of fall off rates of patients on a renewal basis. In addition, right, in Florida, because of the way that the law is written, there's a plethora of conditions that qualify along with the condition, which we call Condition K, that is a light kind or class condition, which allows physicians to analogize other conditions to particular symptoms or you know, ailments that are presenting patient may have. So, again, I think Florida has certainly outperformed all initial estimates as it relates to adoption. And I -- for one, don't see you know, signs that patient growth has reached a saturation point or that's necessarily slowing down. In fact, I think there may be some evidence that it's actually it's continuing. As it relates to, you know, competitiveness, there are new licenses that have been issued. We're not seeing really anything in terms of build out or investment of those new licenses. My take on that is that many of these are investment groups, who are looking to potentially, you know, either make a decision to invest or potentially sell if and when recreational, is realized. And I think importantly, as we know, in Florida, because of the structure, it does take significant investment, because you have to invest in the entire supply chain in order to compete. So you can't just prop up retail. You also have to fund cultivation and production. Also, new-ish in Florida, there's now a $3 million licensing fee that you have to pay every two years. So I think that also increases a bit of cost to entry. And I think, you know, I know there are a lot of licenses that are available for sale currently at -- not that much from an investment perspective. So, we're continuing to see what we have seen, which is, you know, the top call it 10 companies have, I would say, 80%-plus of the market, in Florida and we would believe that, that would continue. And, again, just because there's demand doesn't mean that, you know, that equates to a one for one as it relates to a new competitor coming up.
Aaron Grey: Thanks for that color. That was really helpful there, Kim.
Kim Rivers: Yes.
Aaron Grey: Second question for me, just on loyalty. I know you previously announced plans to relaunch that in the back half of the year. I believe it was going to be, more point space and definitely a big effort to increase retention rate. So any additional color you can provide on that? Have you done any pilots once you might be able to hear more on it, it's more of a 4Q dynamic or is it getting launched now in the summer? So any incremental color on the relaunch of the loyalty program would be appreciated? Thanks.
Kim Rivers: Yes. Aaron, thanks for asking that. We actually are -- so it's stepped and we have to launch the website, because of the interconnectivity there prior to launching loyalty. And so that's why we -- the color -- their comments were around launching the website and the revamp of the website, which we're really excited which is going to hit Q3. And then post that, we'll be rolling out the revamped loyalty. Now it should be noted that royalties -- that revamp loyalty is not going to be launched simultaneously across all markets at one time. And so you will see a beginning to roll that out in Q4, and we'll certainly be excited to share more color on that. And there have been -- there's been a lot of work and a lot of testing that's been going on behind the scenes there. And again, the interconnectivity, we're really trying to in a lot of our efforts, again on that side of things have been on we talk about integrated commerce and making sure that things are connected and working together. And so excited for you to get a look at the work that's been going on in terms of 2.0, from our website first and that'll be coming soon.
Aaron Grey: Okay. Great, thanks very much for the color. We'll look out for it, and I'll jump back in the queue.
Kim Rivers: Thanks.
Operator: This concludes our question-and-answer session. I'd like to turn the call back to Christine Hersey for closing remarks.
Christine Hersey: Thanks everyone for your time today. We look forward to sharing additional updates during the next earnings call. Thanks again, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.